Operator: Hello, ladies and gentlemen. Thank you for standing by. Welcome to Atour Lifestyle Holdings Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. I would now like to turn the conference over to Mr. Luke Hu, Senior IR Manager. Please go ahead, sir.
Luke Hu: Thank you, operator. Good morning, and good evening, everyone. Welcome to our second quarter 2025 earnings conference call. Today, we will hear from our Founder, Chairman and CEO, Mr. Wang Haijun; and our EVP, Co-CFO, Mr. Wu Jianfeng. Before we continue, please be aware that today's discussion will include forward-looking statements under federal securities laws. These statements are subject to various risks and uncertainties, and actual results may differ significantly from what is stated or implied in our comments today. The company is not obligated to update any forward-looking statements, except as required by applicable laws. Additionally, during this call, our management will discuss certain non-GAAP financial measures solely for comparison purposes. For a clear understanding of these measures and a reconciliation of GAAP to non-GAAP financial results, please refer to the earnings release issued earlier today. Furthermore, a webcast replay of this conference call will be accessible on our website at ir.yaduo.com, where a copy of the results presentation is also available. Now I will turn the call over to Mr. Wang, our CEO.
Haijun Wang: [Interpreted] Thank you, Luke. Hello, everyone, and thank you for joining Atour's Second Quarter 2025 Earnings Call today. In the first half of the year, China's travel market went through a period of volatility and adjustment. While overall demand steadily recovered, the industry still faced numerous challenges amidst this high-growth cycle. Against this backdrop, we believe that a true industry leader must not only validate its business model through scale, but also build a strong brand moat grounded in customer reputation. Therefore, Atour will stay true to our founding aspiration, refocus on customers placing their needs at the forefront and adhering to our business philosophy of serving people. We continue to drive product innovation and iteration across both our hotel and retail businesses, leveraging differentiated experiential strength to build defensible competitive advantages. This allows us to stay resilient through industry cycles and pursue sustainable long-term growth. Now I would like to provide more details on our business performance for the second quarter of 2025. Let's begin with our hotel business. Please turn to Slide 4 of our second quarter 2025 results presentation. Our RevPAR was RMB 343 in the second quarter, representing 95.7% of its level in the same period of 2024. Specifically, OCC reached 97.4% and ADR stood at 98.2% of their levels in the same period in 2024. Please turn to Slide 5. In the second quarter, RevPAR for our mature hotels in operation for more than 18 months was 94.4% of the level in the same period of 2024, while OCC and ADR stood at 96.5% and 97.8% of 2024's levels for the same period, respectively. Please turn to Slide 6. In the process of expanding our scale, we have always adhered to a long-term growth principle with hotel quality as our top priority. This ensures each new hotel carries forward our brand DNA and delivers consistent experiences, thereby supporting sustainable growth through quality. In the second quarter, we maintained a steady pace of expansion with 118 hotels opened. By the end of the second quarter, we had a total of 1,824 hotels in operation, representing a 29.2% year-over-year increase. Meanwhile, leveraging our solid brand momentum and continuously enhanced product strength, we have been gradually building differentiated competitive edges with multiple brands and product lines that precisely target various market segments, we offer franchisees a rich and diverse range of investment options. By the end of the second quarter, the number of hotels under development reached 816. The growth of high-quality pipeline projects is fueling strong momentum toward our strategic goal of 2,000 premier hotels. Next, I would like to share the latest developments for Atour hotel brands. Please turn to Slide 7. In the upper mid-scale market, the parallel development of Atour Series 3 and Series 4 enables us to gain deeper insights into demand across segmented scenarios, driving our further penetration in the upper mid-scale segment. Among them, Atour Series 3 consolidates our core brand position in mainstream business travel scenarios. The latest Atour 3.6 version is built on the product philosophy of timeless and humane and focuses on customer needs for both functional space and ambience, further enhancing the convenience and comfort of the stay experience. The first batch of Atour 3.6 hotels have gradually opened and received strong market recognition for their outstanding product strength, which is driving robust signings momentum. Please turn to Slide 8. As a next-generation benchmark product for the upper mid-scale market, Atour Series 4 focuses on prime locations in higher-tier cities, precisely catering to the blended needs of business trips and urban vacations. On June 28, we celebrated the 1-year anniversary of our first Atour 4.0 hotel. By seamlessly integrating spatial aesthetics with local culture, it has established a moat of differentiated experiences, marking a critical transition from product innovation to quality validation. To date, more than 30 Atour 4.0 hotels have opened with over 60 hotels under development in our pipeline. Please turn to Slide 9. Today, consumers increasingly prioritize experiential consumption that fulfills their inner needs. However, traditional upscale hotels have struggled to keep pace as their facilities and service offerings exhibit a significant mismatch of evolving guest expectations. The introduction of SAVHE Hotel represents a successful effort to redefine the standards of upscale hotel experiences. Guided by the brand ethos of Oriental Serenity, SAVHE creates deeply immersive experiences across sleep, healing and wellness, revolutionizing the traditional hotels approach to guest care. On May 28, our first SAVHE flagship hotel officially opened in Shenzhen and has received widespread acclaim for its distinctive oriental lifestyle experience. As a newly developed upscale brand, SAVHE Hotel addresses present needs while anticipating emerging consumption trends. Looking ahead, SAVHE will focus on rigorous site selection in core business districts of first tier and new first-tier cities while continuously optimizing its product model based on customer feedback and operating performance. We expect each thoughtfully crafted SAVHE Hotel to become a lifestyle landmark in every city it enters, demonstrating to both customers and franchisees an innovative model in China's new generation of upscale hotels. Please turn to Slide 10. Atour Light 3.3 as an extension and upgrade of Atour Light 3.0 has comprehensively improved its design style, functional modules and operational model to precisely cater to the needs of young business travelers and franchisees, further enhancing our product competitiveness in the mid-scale hotel segment. From an operational standpoint, we continued to improve efficiency and enhance the customer experience. These efforts have produced a strong operating performance in the brand metrics and flagship hotels in key cities while offering franchisees a sustainable return on investment. We believe the current market environment presents a great opportunity for Atour Light's growth. As a strategic priority for the group, we will continue to allocate core resources to it. In terms of scale, we are taking a long-term quality-first approach, making steady progress through a rigorous selection process. In brand building, we maintain a youth-focused positioning and continue to strengthen its presence and influence, further widening our differentiated advantage in the mid-scale hotel segment. Moving now to our retail business. Please turn to Slide 11. Atour retail's differentiated advantages stem from a profound understanding of customer needs and steadfast commitment to our natural deep sleep concept. Rather than accelerating product launches, we prioritize excellence in addressing core customer needs and carefully capturing the experiential nuances of different scenarios. Through meticulous refinement, we translate these insights into implementable product functionality, gradually enhancing core competitiveness in a way that cannot be replicated. Fueled by ongoing strong sales of new products and the momentum from promotional campaigns, our retail business maintained robust growth this quarter with GMV rising 84.6% year-over-year to RMB 1,144 million. Online channels continued to account for over 90% of total GMV. Our retail GMV set a new sales record during the June 18 Shopping Festival, reaching RMB 578 million, up more than 86% from the same period last year. During this promotional campaign, Atour Planet ranked the first in terms of sales in the bedding category for the first time on major third-party platforms. This breakthrough signifies that Atour Planet's deep sleep solutions brand positioning has further consolidated consumer mind share. Please turn to Slide 12. In the pillow category, Atour Planet has maintained its leading position on major third-party platforms this quarter, further cementing our leadership position. Based on customer feedback and after several rounds of fine-tuning in material selection, support structure adjustments and real sleep tests, we officially launched an upgraded version of the Deep Sleep Memory Foam Pillow Series this month, the Deep Sleep Memory Foam Pillow Pro 3.0. This product delivers multiple breakthrough upgrades, including an innovative curve fitting design and a partition support structure that better cradles the head and naturally fits the curvature of the neck and the shoulders. The accompanying pillow case uses a new weaving technique, which enhances breathability and moisture wicking while keeping the pillow surface at a stable temperature. Please turn to Slide 13. Meanwhile, after multiple quarters of dedicated research and functional refinement, the momentum of our comfortable category has gradually gained market recognition for its product strength. The Deep Sleep Thermo-Regulating Comforter Pro 2.0 (Summer Season) continued its strong sales momentum during the second quarter, driving significant growth in category sales. Atour Planet has also surged to the top of the comforter category rankings on Douyin platform in May. Please turn to Slide 14. This quarter, to address common daily use pain points, we also launched a new product category, the Deep Sleep fitted sheet. Atour Planet's continuously expanding Deep Sleep product portfolio comprehensively covers the diverse needs of customer home sleep micro environment and demonstrates our capabilities to provide systematic solutions in the sleep segment. Looking ahead to the second half, we will further deepen our presence in the sleep market by driving more product iterations and category innovations based upon our customer needs. We will enhance our R&D capabilities, strictly adhere to production standards and optimize supply chain management to advance the upgrading of the industry craftsmanship and quality standards. We will remain at the forefront of innovations in consumers' sleep experience and drive high-quality growth in the retail business. Please turn to Slide 15. Last but not least, I would like to share the progress across our membership business and channel development. With the ongoing refinement of the ACARD membership system and the steady expansion of member benefits, our registered individual members surpassed 102 million by the end of the second quarter, representing a 34.7% year-over-year increase. This marks a new phase for our membership program. In terms of channel development, our CRS channel remained at a healthy level, accounting for 61.5% of total room nights sold in the second quarter. The contribution of room nights sold to corporate members was 20%. Please turn to Slide 16. We believe the core value of our membership business is not on traffic operations, but on building an emotional connection with our customers. Refocusing on customers and responding to their genuine needs is the core value of the continuous evolution of the ACARD system. In June this year, we launched the new gold member growth system to improve gold member perception and satisfaction with membership benefits. This system adopts a tier-based benefits release mechanism and extends certain platinum member benefits to them, better aligning with the pace of members' progression and their usage needs while allowing more high-frequency active customers to enjoy premium benefits earlier. Looking ahead to the second half of the year, we remain committed to our Chinese experience strategy and will continuously strengthen our fundamental capabilities and reinforce execution standards. Amid a complex and volatile external environment, we will uphold our core values of humanistic care and customer focus. Through refined service and high-quality products, we aim to set the benchmark for experiences in the industry and as always, deliver our warmth and attentiveness to every customer. I will now turn the call over to our Co-CFO, Mr. Wu Jianfeng, who will discuss our financial results.
Jianfeng Wu: Thank you, Haijun. Now I would like to present the company's financial performance for the second quarter of 2025. Please turn to Slide 18 of the results presentation. Our net revenues for the second quarter of 2025 grew by 37.4% year-over-year and 29.5% quarter- over-quarter to RMB 2,469 million. Revenues from our manachised hotels for the second quarter of 2025 were RMB 1,299 million, up 26.5% year-over-year and 25.9% quarter-over-quarter. The year-over-year increase was primarily fueled by our ongoing hotel network expansion. The total number of our manachised hotels increased from 1,382 as of June 30, 2024, to 1,800 as of June 30, 2025. The quarter-over-quarter increase was mainly due to an increase in RevPAR. RevPAR for our manachised hotels was RMB 340 for the second quarter of 2025 compared with RMB 302 for the previous quarter. Revenues contributed by our leased hotels for the second quarter of 2025 were RMB 150 million, a decrease of 17% year-over-year and an increase of 16.4% quarter-over-quarter. The year-over-year decline was primarily due to a decrease in the number of leased hotels as a result of our product mix optimization. The quarter-over-quarter increase was mainly due to an increase in RevPAR. RevPAR for our leased hotels was RMB 513 for the second quarter of 2025 compared with RMB 453 for the previous quarter. Revenues from our retail business for the second quarter of 2025 were RMB 965 million, up 79.8% year-over-year and 39.1% quarter-over-quarter. These increases were driven by growing recognition of our retail brands and effective product innovation and development as we successfully broadened our range of product offerings. Now let's move to costs and expenses. Please turn to Slide 19. Hotel operating costs for the second quarter of 2025 increased by 15.1% year-over-year and 21.3% quarter-over-quarter to RMB 893 million. These increases were primarily due to the increases in variable costs, such as supply chain costs and hotel manager costs associated with our ongoing hotel network expansion. Gross margin of our hotel businesses expanded to 38.3% in the second quarter of 2025 from 35.7% during the same period of 2024, primarily attributable to a lower proportion of these hotels as a result of our product mix optimization. Retail cost for the second quarter of 2025 rose by 70.0% year-over-year and 33.5% quarter-over-quarter to RMB 451 million. These increases were associated with the rapid growth of our retail business. Gross margin of our retail business expanded to 53.3% in the second quarter of 2025 from 50.6% during the same period of 2024, primarily attributable to the increasing contribution from higher- margin products. Now please turn to Slide 20. Selling and marketing expenses for the second quarter of 2025 were RMB 393 million compared with RMB 225 million for the same period of 2024. Selling and marketing expenses accounted for 15.9% of net revenues for the second quarter of 2025 compared with 12.5% for the same period of 2024. The increase was mainly due to the investment in brand recognition and effective development of online channels in line with the growth of our retail business. General and administrative expenses for the second quarter of 2025 were RMB 90 million, including RMB 2 million share-based compensation expenses compared with RMB 91 million for the same period of 2024, which included RMB 15 million in share-based compensation expenses. General and administrative expenses, excluding share-based compensation expenses accounted for 3.6% of net revenues for the second quarter of 2025 compared with 4.2% for the same period of 2024. The decrease was primarily due to improved management efficiency and economics of scale. Technology and development expenses for the second quarter of 2025 were RMB 43 million compared with RMB 33 million for the same period of 2024. Technology and development expenses accounted for 1.7% of net revenues for the second quarter of 2025 compared with 1.8% for the same period of 2024. Now please turn to Slide 21. Adjusted net income for the second quarter of 2025 was RMB 427 million, representing a 30.2% increase year-over-year. Adjusted EBITDA for the second quarter of 2025 was RMB 610 million, up by 37.7% year-over-year. And adjusted net profit margin for the second quarter of 2025 was 17.3%, representing a decrease of 0.9 percentage points year-over-year. The decrease was due to a rise in the overall effective tax rate resulting from withholding tax. Adjusted EBITDA margin for the second quarter of 2025 was 24.7%, remaining stable compared to the same period of 2024. Now please turn to Slide 22. We also maintained a healthy cash position. As of June 30, 2025, our cash and cash equivalents totaled RMB 2,716 million, with net cash of RMB 2,649 million. Please turn to Slide 23. For full year 2025, given ongoing network expansion and rapid growth of our retail business, we currently expect total net revenues to increase by 30% compared with full year 2024. That concludes our financial highlights for the second quarter of 2025. Now let's open for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Lydia Ling from Citi.
Wei Ling: So congratulations on the solid results in the second quarter. And so I want to ask some questions on the RevPAR trend. So could you share the latest RevPAR trend performance in the third quarter to date and especially during the summer holidays? And what's your latest view on the full year RevPAR trend?
Haijun Wang: [Interpreted] Thank you, Lydia. Well, entering the summer season, the market continues to exhibit some characteristics such as the rotating travel hotspots or the divergent regional performances. So overall demand has not yet recovered to the same period last year. However, we do have observed that the summer leisure travel still demonstrated some resilience. Therefore, we expect that the RevPAR pressure in Q3 will somewhat ease when compared to that of Q2, while further narrowing the declining in year-on-year RevPAR recovery. Nonetheless, full year recovery -- full year RevPAR recovery rate is also showing a gradual improving trend. Looking ahead, we believe the industry will continue to face challenges as market supply increases overall. However, Atour will consistently leverage our differentiated experiential advantages by refocusing on users while continuously strengthening our product excellence and brand premium capabilities. In terms of revenue management, we shall maintain a more balanced strategy between OCC and ADR to enhance overall profitability. We are confident that this approach is the key to navigating market cycles, and it will serve as a touchstone for our brand's resilience.
Operator: The next question comes from the line of Chen Xin from UBS.
Xin Chen: Let me translate to English. I may have the management share whether there are any changes to the 2025 guidance on hotel openings and closure. Additionally, what is the recent trend in franchise signings? With the increasing competition in the market, will this impact the company's future development plans?
Haijun Wang: [Interpreted] Thank you, Chen Xin. Let me try to answer your question and allow me to share Atour's long-term development plans from multiple perspectives, including store openings, closures and signings. Firstly, regard to new openings. In the first half of this year, we opened a total of 239 new hotels. By the end of the second quarter, pipeline hotel numbers reached 816. Based upon this, we are fully confident in achieving our full year guidance of 500 new hotel openings and finally reaching the scale target of 2,000 premier hotels by the end of this year. Secondly, on closures. As for our hotels in operation, we would conduct ongoing evaluations from operational to experiential perspectives and terminate partnerships with those that do not meet our experience consistency standards. So in the first half of the year, we closed 34 hotels, and we expect the full year number of closures to be in between 70 to 80. And moving forward, we will maintain a certain active replacement rate to ensure every operating hotel is a differentiated, high-quality property. Thirdly, the next point on our future approach to signings. Firstly, we will position precisely in terms of location, leveraging the network management advantages outlined in our site selection tool. Secondly, despite the current market environment with turbulences going on, we shall continue with the high standards on signings to ensure our high-quality growth and scale. These strategies will allow us to not only offer better products and experiences, but also create a win-win sustainable growth for our brand and the franchisees. Last but not least, well, in fact, when we look back at the development history of China's chain hotel industry, most players have inevitably followed a path of prioritizing scale first. But the industry would sooner or later eventually shift from competition on scale towards competition on quality. Meanwhile, we at Atour consistently kept to our strategic focus of quality premier hotels throughout the whole time. In the future, we will continue to enforce strict quality control throughout the entire life cycle of hotels from signing and opening to operations and build a brand moat with our high standards and consistently practicing and promoting our development philosophy of long-termism. Thank you.
Operator: The next question comes from the line of Sijie Lin from CICC.
Sijie Lin: Congrats for another strong quarter. So my question is on the retail business because we noticed that Atour's retail business continued its outstanding performance during Q2, which spans across the 618 Online Shopping Festival period. And that you have raised full year revenue guidance. So could you share with us what's the full year revenue guidance for the retail business? And additionally, could you please discuss more about the future development of the retail business, maybe including the rollout pace of new sleep products? And is there any bottlenecks or challenges among development?
Haijun Wang: [Interpreted] Thank you, Sijie. Let me answer your question regarding revenue guidance. In the second quarter, Atour's retail business achieved outstanding performance. And looking at the full year, we will continue to launch new products as planned and further refine our product matrix. This month, we launched the Deep Sleep Memory Foam Pillow Pro 3.0 and the Deep Sleep Thermo-Regulating Comforter Pro 2.0 all-season. Both have received very positive market feedback. Upgraded versions of the Deep Sleep Thermo-Regulating Comforter series will also be rolled out in the near future to further enrich our deep sleep product line. Considering that positive development momentum of the retail business, we are confident in achieving our full year targets and have, therefore, raised our full year guidance of retail business growth to 60% year-over-year. Now let me discuss the future plans for the retail business of ours. Through long-term exploration, we have already recognized that the sustained popularity of our Atour Planet sleep products is rooted in our deep understanding of user needs and the successful implementation of an experience-driven business model. However, we do see intensifying competitions going on with new entrants and imitators joining the freight. As a relatively new player, we see ourselves coming into this industry, we need to stay focused, solidify our fundamental capabilities in twofold. On one hand, we shall continuously optimize our supply chain as a strong foundation for our long-term development. While on the other hand, we will strengthen R&D innovation and quality control to drive the overall improvement of industry standards with higher benchmarks. This is precisely a continuation and practice of the long-term philosophy of high-quality growth that our hotel business upholds. Thank you.
Operator: Next question comes from Dan Chee of Morgan Stanley.
Dan Chee: We observed the growth rate of the retail segment business. Revenue is a lot faster than the hotel segment. So there has been some structural change on the growth rate of the company's revenue outlook. The tax rate was also high this quarter, similar to first quarter. So I would like to understand the company's latest view on the full year adjusted net income margin. And can it still stay stable at 18% like last year as previously guided?
Haijun Wang: [Interpreted] Thank you, Dan. In 2024, our group's adjusted net profit margin was approximately 18%. This year, due to the rapid growth of our retail business, our revenue structure shifted. And in the first half of the year, retail revenue accounted for around 38% of the total, up from around 29% in last year. And the contribution from retail revenue continues to increase. It is exerting a structural impact on our overall net profit margin. But as we have maintained a relatively stable pretax profit margin through improved management efficiency. Meanwhile, as we have officially launched a comprehensive shareholder return program combining dividends and share repurchases this year, of which the funding source comes from our net income profit distribution of our domestic subsidiaries. Accordingly, the associated withholding tax will increase our overall effective tax rate this year. The adjusted comprehensive tax rate is expected to rise to 30% this year compared to last year's 25%. That will, to some extent, affect our full year net profit margin. So as a result, we anticipate our year-on-year decline in full year net profit margin. Thank you.
Operator: Our next question comes from the line of Simon Cheung of Goldman Sachs.
K. Y. Cheung: So let me translate that into English. So regarding the hotel brand, I have questions on the 2 hotel brands that they have maybe more strategic focus or newly launched recently. One is SAVHE, whereby they launched a Shenzhen new hotel and the market receptions have been excellent. Wondering whether they have any targets in terms of the number of hotel as well as the district or regions where they're going to be focusing on? Secondly, also on Atour Light, I think the number of hotel count almost reaching 180 for this quarter. Wondering if there's any update on the feedback and specifically, the version 3.3 has been quite well received. So wondering if there's going to be any feedback that management can share?
Haijun Wang: [Interpreted] Thank you, Simon. First, regarding the question of SAVHE. Well, since its opening, SAVHE has been highly praised by our users because of the design style and service quality and the particularly standout operational performance. The flagship store of SAVHE Hotel in Shenzhen achieved a comprehensive RevPAR exceeding RMB 800 in its first month operation that started from May 28. Currently, several high-quality projects in key cities such as Guangzhou, Shanghai, Shenzhen are poised to open successfully. For SAVHE, we will adhere to quality-first approach because we need to control the scale of expansion while deepening the brand's presence and aiming to set a benchmark in experience and supporting its growth with a long-termism mindset. I'll talk about Atour Light. In second quarter, overall operational performance of Atour Light 3.0 was outstanding with the RevPAR recovery rate outperforming our group's average, demonstrating a strong product potential and very efficient location of the Atour Light brand. Atour Light 3.3 version upgraded from the basis of Atour Light 3.0 has also been highly favored by franchisees since its launch and picked up a very strong signing momentum. Our first Atour Light 3.3 hotel has opened in last week, and the first batch of more locations will open soon. And looking forward, we do believe in Atour Light to be a strategic priority for our group, and we will continue to invest into this brand with our core resources, meticulously refine product quality, enhance operational efficiency and also focus on core urban areas and key business districts. With a long-term vision and a steady deliberate efforts, we aim to lay a solid foundation for achieving a goal of 1,000 Atour Light hotels. Thank you.
Operator: There are no further questions at this time. That concludes today's question-and-answer session. I would like to turn the call back to Mr. Luke for any additional or closing remarks.
Luke Hu: Thank you for joining us today. If you have any further questions, please feel free to contact our IR team, and we look forward to speaking with you again next quarter. Thank you, and goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]